Operator: Good afternoon, and welcome to Convey Health Solution's First Quarter 2022 Earnings Conference Call and Webcast.   Leading the call today is Stephen Farrell, Chief Executive Officer; and Tim Fairbanks, Chief Financial Officer; John Steele, Convey's Executive Vice President of Technology is also joining the call.  Before we begin, we would like to remind you that certain statements made during this call, including during both Q&A will be forward-looking statements pursuant to the safe harbor provision and Private Securities Litigation Reform Act. These forward-looking statements are subject to known and unknown risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. We caution you that forward-looking statements are not guarantees of future performance or outcomes and that actual performance and outcomes may differ materially from those made in or suggested by such forward-looking statements. Factors that could cause actual results to differ materially from those reflected in forward-looking statements include the Risk Factors section of the company's Form 10-K for the period ending -- for the period ended December 31, 2021 and its other filings on the Securities and Exchange Commission. Expect as required by law, we undertake no obligation to publicly update any forward-looking statements whether as a result of new information, future events or otherwise. Additional information will also be set forth in Convey Health Solutions quarterly report form on Form 10-Q for the quarter ended March 31, 2022, which is expected to be filed later today. In addition, please note that the company will be discussing certain non-GAAP financial measures that we believe are important in understanding and assessing its financial performance. Details on the relations between these non-GAAP measures to most comparable GAAP measures and a reconciliation of historical non-GAAP financial measures can be found in the press release that is posted on the company's website. With that, I'd like to turn the call over to Convey Health Solutions CEO, Stephen Farrell. Stephen, please go ahead.
Stephen Farrell: I'd like to thank you for joining us for our first quarter 2022 earnings call. I'm joined today by Tim Fairbanks, our Chief Financial Officer; and John Steele, our Executive Vice President of Technology. We just concluded our fourth quarter as a public company. We continue to perform well. It's been less than 2 months since our last update. So my comments on strategy and the business will be a bit abbreviated. Today, we reported net revenues of $96.7 million for the first quarter of 2022, an increase of 17% over last year and adjusted EBITDA of $15.3 million which is in line with our expectations outlined on our March call, when we indicated that we expect the balance of 2022 to have higher margins than the first quarter. We believe the recurring nature of our business makes our revenue, adjusted EBITDA and cash flow generation attractive and generally predictable. We expect to continue to achieve strong growth going forward as we have excellent technology, a strong management team, and we are a leader operating in growing markets. We are not currently changing our guidance for 2022 that we just recently provided on March 23. We continue to be confident in our ability to execute for the remainder of 2022. We successfully onboarded new clients in the first quarter, and we believe we are on track for the year with our cross-sell and upsell activities. As we mentioned on our call at the end of March, like many other companies in the United States, we've experienced some supply chain challenges. Those challenges caused some incremental labor and shipping costs in the first quarter. Let me take a minute to elaborate. Our margin percentage pressure in the first quarter was not primarily caused by higher labor rates or by higher cost of specific inventory, although they were a small factor. We've done a really good job managing labor rates and inventory costs, partly by leveraging our technology to drive efficiency and partly because we are leveraging our offshore capability. In the future, we expect to leverage the supply chain expertise of our HealthSmart team, which will improve inventory costs, although we experienced very little of that benefit in the first quarter as we just closed on that acquisition. Our margin pressure in the first quarter was primarily due to longer lead times for inventory. Let me explain. Lead times for inventory, the time between when we place an order and the time it is received by us were longer than we expected, which created an inventory shortage. We didn't order enough to get the orders in-house to meet the high demand we experienced. In order to meet our client needs, we incurred incremental shipping charges to expedite deliveries and we also incurred higher labor expenses related to both shipments and member engagement to manage the inventory shortfall. We believe we will be able to more effectively manage these supply chain challenges and that our HealthSmart acquisition should help as we are now better positioned to leverage the manufacturer relationships to deliver high-quality and cost-effective products on time. We are also leveraging our Philippines' footprint and our work-at-home skill set as safety valves. So although we may continue to have some short-term headwinds due to the labor inflation and supply chain challenges, we continue to think it is manageable. And importantly, we are seeing strong momentum in our technology and service offerings. Although early, our 2023 selling season is off to a good start and is tracking well so far. In closing, we delivered another solid quarter starting off the year with net revenues up 17% compared to last year and we believe continued revenue growth will translate into higher margins as the year progresses. We continue to help our health plan clients increase revenue, engage with members and operate more efficiently. So our value proposition continues to be strong. We will be attending the Bank of America Conference tomorrow and look forward to see many of you there. Now I will turn the call over to Tim, who will provide more details on our first quarter then we will open the call up for questions. Tim?
Timothy Fairbanks: Thank you, Stephen, and thanks to everyone for joining the call today. We generated strong first quarter 2022 financial results with net revenues increasing 17% to $96.7 million, compared to $82.6 million in the first quarter of 2021. Our Technology Enabled Solutions segment revenue was $83.2 million, which is a 20% increase over $69.6 million during the first quarter of 2021. The increase was primarily driven by growth in both supplemental benefit services and health plan management revenue. Our Advisory Services segment revenue was approximately $13.5 million during the first quarter of compared to $13 million in the first quarter of 2021. While we believe our Advisory Services business continues to grow nicely, the quarter-over-quarter comparison was impacted by a strong first quarter of 2021 which benefited from pent-up demand when our clients continue to return to their office after pandemic lockdown. We generated a net loss of $1.2 million during the quarter, driven by $1.6 million of onetime expenses related to the HealthSmart acquisition that closed February 1. Included in these costs is a $1.2 million noncash inventory step-up need for purchase accounting. Note this onetime expense will impact year-over-year margin comparison but have no impact on cash or adjusted EBITDA. Adjusted EBITDA was $15.3 million for the first quarter of 2022 compared to $15.9 million in the first quarter of 2021. While our first quarter adjusted EBITDA was in line with our expectations, we experienced some margin pressure related to hire staffing, inflation and supply chain challenges exacerbated by our first quarter revenue growth. Interest expense was $3.7 million for the first quarter of 2022 compared to $5.5 million for the first quarter of 2021. This decrease reflects lower term loan balances following the second quarter of 2021 paydown using IPO proceeds. Also, in July, we amended our credit agreement, which reduced our effective interest rate by approximately 75 basis points. Moving to balance sheet and cash flow items. As of March 31, 2022, cash and cash equivalents totaled approximately $20.9 million, and we had $39.4 million available on our revolver. Total debt, excluding unamortized cost of $5.4 million was $270.6 million. This increase over last quarter reflects additional debt incurred in connection with the HealthSmart acquisition. Net cash used in operating activities during the quarter was $15.7 million, driven by a net working capital use of $26.5 million. We typically see higher than normal net working capital cash used during the first quarter as we pay down prior year liabilities. Finally, I'd like to thank our employees for their continued hard work and dedication. Operator, we are now ready to open the call to questions.
Operator:  The first question comes from Cindy Motz of Goldman Sachs.
Cynthia Motz: I have 2 questions. The first -- the thing, in the first quarter, with the margins, so I get with the supply chain a little bit with some of the costs there. So but you're keeping guidance the same, so we should expect to see, I would think, a pretty good ramp. Are you still comfortable like with margins overall in the range of around 20% EBITDA margins for the year? And then you're keeping also revenue the same, like I think it was -- the guidance was midrange around $400 million. And then I just have 1 other housekeeping, but I'll stop there.
Timothy Fairbanks: Great. Yes. So Cindy, you're right. We're not changing that guidance. If you remember from last quarter's call, we issued the guidance, we indicated typically, our first quarter margins are a bit lower on average for the year, and our fourth quarter margins are a bit higher. The reasons for that first quarter margin degradation typically is the implementation of new clients. This year, it was a bit amplified because we did onboard a higher number of new logos, number one. And number 2, we also had some integration expenses with the HealthSmart acquisition that closed on February 1.
Cynthia Motz: Okay. Actually, that makes sense. And that's good to hear the new clients, I think. I guess one thing on the working capital shift. So you gave some color. So it is a seasonal thing because I was noticing the accounts receivables at the inventories were up, but like you were saying there was sort of an issue. Now you have plenty of inventory. So we should see that working capital shift go the other way in the second quarter, I would think, correct.
Timothy Fairbanks: Correct. And really 2 things I'll point out there, Cindy. Number one is the March 31 balance sheet. Little tough to compare because now it does include the HealthSmart acquisition. But number 2, on the seasonal piece that you accurately pointed out, you'll really see that in the accounts payable and accrued liability line where it was a use of cash of $26 million this period. However, it was also a $22 million use of cash in the prior -- prior year. And so we do have that seasonal AP paydown that should reverse itself as the year goes on.
Operator: The next question comes from Steven Valiquette of Barclays.
Steven Valiquette: So I guess just to pick up on one of the key topics of the conversation from the last quarterly conference call. I'm just wondering if you have any high-level updates just on your revenue mix by some of your largest a couple of customers in the first quarter versus where you ended '21. I'm not looking for any specific numbers, unless you want to disclose anything, but wondering if that mix just kind of shook out how you thought it would in early '22 versus where you ended calendar '21?
Timothy Fairbanks: Yes. There's always a little bit of mix within quarters, Steve. But it will be roughly in line with what you've seen. I mean I can disclose specifics. This will be also included in our Q, which will be released later today. But our largest customer is up around 400 basis points to 28% of total revenue. Customer fee is actually down about 300 basis points to around 17% of revenue. Again, those numbers vary a little bit by quarter. We provide so many different solutions to each of these customers that there will be a little bit of movement within the quarter base. But overall, in terms of consolidating customer A and customer B, very similar portion of our revenue as it was 12 months ago.
Stephen Farrell: So, Steven, we do a good job with our largest customers. We try to do a good job with all of them. But it's natural that there'll be some fluctuation year-to-year. And it's really a dual-edge sword because we want to continue to grow with our large customers, and we do a good job with them, and they reward us with incremental business.
Operator: The next question comes from Sandy Draper of Guggenheim.
Sandy Draper : Just a question on -- and I know it's still early but you gave some comments on the selling season. Just curious, last year, was a little bit lighter. You called out that there were some issue around not having as much retail. You seem to fill that gap. Is that the primary driver that's driving it? Or can you just comment here around sort of any specific lines of business that seems to be doing better.
Stephen Farrell: Sure. So we have, I think, a good selling season last year in terms of incremental new accounts where the year-over-year analysis was less than we expected was in our same-store growth, so to speak, our growth within our existing clients who didn't grow quite as quickly as they have historically. So our large clients have had outstanding growth over the last 10 years. Last year was -- for -- this year was a bit of an exception to that, and I fully expect that our largest clients will be on a good trajectory here going forward. In terms of some of the challenges last year, you brought up retail, and that was certainly a challenge, which we fixed in the late summer of last year, early fall.  But by the time we fixed that with our income partnership, significant portion of the selling season that already passed us. So we entered this year's selling season with a good set of partners and an excellent set of products. We are in full swing now in the 2023 selling season. But that season, if you recall, we'll go through most of this year.
Operator: Next question comes from Richard Close of Canaccord.
Richard Close: Tim, I was wondering if you could maybe provide a little bit more details with respect to the longer lead times in inventory, maybe the degree in terms of basis points headwind that created or something along those lines?
Timothy Fairbanks: Yes. Richard, it's tough to specifically nail down exact impact on a dollar bridge basis. However, just to give you a sense, there's always margin pressure in Q1 as we onboard aiding the supplemental benefits portion of our business. As we onboard new clients, you really don't have any kind of order history or patterns to rely upon like you do your legacy customers. And so it's possible in the first quarter to get surprised by exactly the products that these new clients are ordering, what their ordering patterns are, when in the quarter they decide to order, et cetera. In a normal world, many times, you can scramble and catch up and quickly -- shift inventory loads quickly because there's no supply chain issues. In today's world, you need a little bit more lead time for that. And so what that does downstream is it creates uneven inventory loads where the company is forced to incur more overnight shipping charges, more labor, more distribution labor, et cetera, putting a little bit of more margin pressure on the business in that first quarter than you normally see. That said, I think the absolute dollar amount of our EBITDA was where we thought it would be. We were pleasantly surprised with our revenue figure. And so that additional revenue certainly had a little bit of a lower margin associated with it for the reasons we just discussed. But ultimately, the EBITDA dollars end up getting, I think, to where we thought we'd be.
Stephen Farrell: Yes. So I'd just add to that. It's an inexact science in terms of calculating exactly what the impact was but it would be measured in the millions of dollars, not hundreds of thousands.
Richard Close: Okay. And then just as it pertains to guidance, I guess you're reaffirming the guidance for this year. Obviously, you don't give quarterly guidance -- specific quarterly guidance. But how do you gauge your confidence level in that guidance primarily on the adjusted EBITDA as compared to a month ago when you said it.
Stephen Farrell: Yes. So Tim, I'll ask you to jump in on the back end, but we had a solid Q1, which we anticipated on, I think it was March 23 when we issued that guidance. So we had good insight into what the quarter was going to be. We're not changing our guidance at this time because we ended up really in line with where we expected to be for Q1. And so we -- I think, provided some color in terms of the way we thought our quarters would grow in terms of the adjusted EBITDA line on our March 23 call, and we continue to think that is accurate. And if we felt like there was a need to move that guidance down, we would have done so. We continue to feel good about it. And we have a very strong and powerful recurring revenue model in our business, which makes us continue to be confident in our ability to perform throughout the year. We do have a little bit of work to do on the labor side and on this inventory headwind. But we believe it's manageable, especially considering the safety valve that we have in our offshore operation and our newly acquired HealthSmart acquisition. Anything to add, Tim, to that?
Timothy Fairbanks: No. Not for me. Thanks.
Richard Close: And if I could slip one more in. Tim, maybe talk a little bit about how we should think about cash flow progression through the year? Obviously, you did comment some on the first quarter, but just how we think of second quarter through fourth quarter?
Timothy Fairbanks: Yes. I would -- I think the one big outlier here, when you have a chance to look at our quarterly cash flow statement, is the paydown of accounts payable of $26 million in the quarter. The vast majority of that is seasonal. And so you wouldn't expect to see that sort of use of cash by paying down your payables in quarters 2, 3 and 4. And so that's really the outlier there. And then if you think about where the midpoint of our guidance is of $82 million EBITDA, clearly, that indicates also an increase in net income through the quarters as well. And so while we haven't published quarterly guidance on cash flow, I think you'll certainly see improvement in both the use of cash of AP as well as net income.
Operator: There are currently no questions registered at this time.  There are currently no further questions registered at this time. So I will pass the conference back over to the management team for closing remarks.
Stephen Farrell: Great. We appreciate you joining our first quarter 2022 call, and I hope to see some of you tomorrow at the Bank of America Conference. Bye. Thank you.
Operator: That concludes Convey Health Solutions' First Quarter 2022 Earnings Conference Call. Thank you for your participation. You may now disconnect your lines.